Operator: Good day ladies and gentlemen and welcome to the NeoGenomics fourth quarter and full year 2021 earnings call. At this time, all participants have been placed in listen-only mode and the floor will be open for questions and comments after the presentation. It is now my pleasure to turn the floor over to your host, Chief Executive Officer Mark Mallon. Sir, the floor is yours.
Mark Mallon: Thanks Holly. Good morning everyone. I’d like to welcome you to NeoGenomics fourth quarter and full year 2021 conference call. Joining me on this call from our Fort Myers headquarters are Bill Bonello, our Chief Financial Officer, George Cardoza, President and Chief Operating Officer of our lab operations, Doug Brown, our Chief Strategy and Corporate Development Officer, and Charlie Eidson, our Director of Investor Relations. Joining on the phone are Dr. Gina Waller, President of our Pharma Services division, Dr. Clive Morris, President of Inivata, and Clynt Taylor, President of our Informatics division. Before we begin our prepared remarks, Charlie will discuss the forward-looking statements and the non-GAAP measures used on this call.
Charlie Eidson: This conference call includes forward-looking statements about our 2022 initiatives, 2022 financial outlook, growth opportunities, and anticipated operating results and performance. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from those projected in such statements. Additional information regarding these risk factors appears under the heading, Forward-Looking Statements in the press release we issued this morning and in the Risk Factors section of our annual report on Form 10-K for the year ended December 31, 2021 that is filed with the Securities and Exchange Commission and available at www.sec.gov and our website at www.neogenomics.com, as well as subsequent filings with the SEC. The forward-looking statements made during this call speak only as of the original date of the call and we undertake no obligation to update or revise any of these statements. In addition, during the conference call in order to give greater transparency regarding our operating performance, we refer to certain non-GAAP financial measures that involve adjustments to GAAP results. These non-GAAP financial measures presented should not be considered to be an alternative to the financial measures required by GAAP, should not be measures of liquidity, and are unlikely to be comparable to non-GAAP financial measures provided by other companies. Any non-GAAP financial measures referenced on this call are reconciled to the most directly comparable GAAP financial measures in a table available in the press release we issued this morning. Before turning the call back to Mark, I want to let everyone know that we will be making a copy of our prepared remarks for this morning’s call available on the Investor Relations section of our website shortly after the call has completed. We also want to let everyone know that we are going to limit the number of questions to one per person in order to give more people a chance to ask questions within the one hour that has been allotted for this call.
Mark Mallon: Thanks Charlie. For today’s call, I’ll briefly review our full year 2021 highlights, provide updates on each of our four businesses, including key 2022 initiatives, and discuss an exciting new addition to the NeoGenomics leadership team, a new Executive Vice President of R&D and Chief Scientific Officer, Dr. Shashi Kulkarni. Bill Bonello will then provide a more detailed review of the financial results and introduce our 2022 financial outlook. We will then have time for Q&A. 2021 was an eventual year for NeoGenomics. Our team successfully navigated the constantly changing environment and took important steps in executing our growth strategy. I’m incredibly proud of the resolve our employees showed in providing excellent care for cancer patients, often under very difficult circumstances. Our teams also took on the challenge of moving our Fort Myers lab operations into our new lab and headquarters facility. The majority of the move is complete with the final stage set to occur in April. The new laboratory triples our capacity in Florida and will support our growth in the near and long term. In 2021, our labs processed almost 1.1 million clinical tests and generated revenue from over 1,000 pharma projects, ending the year with $484 million in consolidated revenue. This represents 16% year-over-year growth excluding COVID PCR testing revenue. These are strong results given the extraordinary environment. During the year, we also executed on two highly strategic acquisitions that we believe will boost our growth in the years ahead. Both Inivata and Trapelo are fully integrated into the organization and are proving to be strong cultural fits with NeoGenomics. I’ll touch on some early progress by both groups later in my remarks. While our acquisitions are certainly exciting, the foundation of our company is our clinical business, which represented more than 80% of our revenues in 2021. We have continued to strengthen our leadership position in the market through our comprehensive menu of tests focused only on cancer, our exceptional service levels, our managed care and hospital relationships, and our overall partnership approach. These critical differentiating factors support new growth and drive high levels of customer retention. In 2021, our average customer accounts ordered more than 250 tests during the year and many of our customers view us as their primary reference lab for cancer testing. This dynamic is supported by the results of a national survey of independent labs and hospitals conducted in December 2021 by Laboratory Economics, in which NeoGenomics was named as the number one preferred reference lab for cancer testing by pathologists. I’m also pleased to share that Neo again achieved a net promoter score in excess of 60, a world-class result. I want to thank our committed employees, who are the key to our strong customer relationships and our track record of delivering elite service. As we turn the page to 2022, we have confidence that the formula we have used to drive market share gains for years will play out as we emerge from the pandemic. To ensure we can meet this additional demand, we’ve expanded our lab operations staff in 2021 and will continue to do so in 2022 as needed. With that said, similar to previous waves of the COVID-19 pandemic, our clinical business was heavily impacted by the omicron variant in January. February has been much better than January and we anticipate an even better March, but our quarter one to date has been challenging.  Many of the strengths I highlighted on the clinical side of our business also apply to our pharma services business. Our biopharma customers clearly appreciate our strong focus on cancer, our comprehensive service menu, and our outstanding service levels. Our global footprint and an ability to launch a test through our leading clinical channel in the U.S. are additional reasons why biopharma clients view us as an excellent partner. Demand through the pandemic across our pharma service offerings has been strong, and over the course of 2021 we booked $172 million in new signed contracts and ended the year with $267 million in backlog. Our pharma services revenue grew 29% year-over-year in 2021 despite COVID-19 impacts. While COVID-19 conditions have slowed our pace of converting backlog into revenue, we believe that many of these projects will convert as conditions normalize. This will put us in a great position to grow this business in 2022.  We also made progress with our global pharma services strategy during the year and successfully opened up a new laboratory in Suzhou, China. The demand from biopharma customers for capabilities in China has been extremely strong. We expect that lab to be strategically important as we look to compete for global clinical trials with study arms in China and for China-based clinical studies. We believe our global network is now largely set. In 2022, we will focus on filling our international labs and using the power of operating leverage to improve our pharma services profitability. Our informatics efforts continue to progress rapidly and our growth trajectory in this business has been largely unaffected by COVID-19. Our team launched a cloud-based cohort builder in January that is already getting very good feedback from biopharma clients. We anticipate this software-as-a-service tool will accelerate our sales results. The Trapelo Health team is also making progress on scaling the next generation clinical decision support tool for oncologists, and we anticipate launching a web-based quick start version by the middle of this year. For our Trapelo clinical decisions support platform, adoption by oncologists is the most important key performance indicator and we are monitoring it closely. Our primary goal will be to accelerate adoption over the course of 2022. It’s been less than a year since we announced the Inivata acquisition, and we are proud of the progress the team has made towards realizing the potential of our leading minimal residual disease and recurrence test RaDaR. The assay’s ability to detect circulating tumor DNA in blood down to levels as low as 11 parts per million with 95% sensitivity and 100% specificity is differentiating, and this is resonating with our biopharma clients. Our sales pipeline is robust and growing quickly. We expect to sign our first significant clinical trial contract this year, which will add to the pharma backlog over time. Evidence generation remains a focus for the team, and we have a number of patient cohorts anticipated to read out over the course of 2022 with multiple data sets expected to be published in peer-reviewed journals. Earlier this month, we were pleased to announce the LIONESS prospective head and neck cancer cohort data was published in the British Journal of Cancer. This represents the first peer-reviewed publication for RaDaR. In the LIONESS study, blood samples taken from 17 patients with stage 3 or 4 head and neck cancer who received curative intent primary surgical treatment were tested using RaDaR to detect circulating tumor DNA as evidence of minimal residual disease and recurrence pre and post surgery. All patients had detectable ctDNA prior to surgery. In longitudinal monitoring after surgery, ctDNA was detected in five patients at levels as low as six parts per million with lead times ahead of clinical confirmation ranging from 108 to 253 days. In the remaining 12 patients, there was no recurrence detected, indicating 100% clinical specificity of the RaDaR assay and confirming post-operative tumor clearance. This is a remarkable result. The team has also made considerable progress on the reimbursement front, and we announced two important regulatory milestones in January. First, we received CE Mark for RaDaR, which we believe will be important for biopharma and allow us the ability to make this test available to clinics and hospital systems throughout Europe to support patient management and clinical research. Second, we achieved our goal as planned of submitting RaDaR for the U.S. reimbursement of our first indication via the MolDX pathway. This submission keeps us on track to commercialize the assay in the clinical market around the middle of 2022. To summarize, we are incredibly excited about our market position and the progress we are making across our businesses towards becoming the world’s leading cancer testing and information company. The attributes that have made Neo successful in the past remain as foundational drivers for growth. We’ve added new differentiating capabilities that will boost our growth trajectory over the coming years. I see a truly bright future ahead for NeoGenomics. Part of working towards that bright future is adding top talent, and so before I pass it over to Bill, I’d like to highlight an important upcoming addition to our leadership team. Earlier this month, we announced the appointment of Dr. Shashi Kulkarni as Executive Vice President of R&D and Chief Scientific Officer. Dr. Kulkarni is a considered a world-renown expert and key opinion leader in cancer genomics with a focus on the application of genomic and multi-omic technologies to improve the understanding of human disease and the precision of clinical diagnosis, prognosis and treatment. He is also an experienced commercial laboratory leader, having played key roles in commercial laboratories at Washington University and in Baylor’s partnerships with Miraca Holdings.  He brings a unique combination of world-class clinical, scientific, commercial, and regulatory talent to the role. We are thrilled to have such a well respected global oncology genomics authority like Dr. Kulkarni leading our research and innovation teams. Dr. Kulkarni will be a vital member of our executive team, drawing on years of research expertise, a strong network of peers, and a passion for innovation and precision medicine. He joins us officially on March 7, and I know he’s very excited to get started. I’ll now turn the call over to Bill, our CFO to discuss some of the other details of our quarter four financial results. Bill?
William Bonello: Thanks Mark. Before I walk through the numbers, I wish to point out that the growth rates we cite exclude prior period revenue from COVID-19 PCR testing. We’ve made this adjustment to make the year-over-year comparisons more useful as we stopped performing COVID testing in the first quarter of 2021.  Fourth quarter consolidated revenue increased 7% year-over-year to $126 million. Clinical division revenue increased 6% year-over-year with test volume up 2% and average revenue per test up 4%. Consistent with our experience throughout the pandemic, our volumes decline during COVID surges and then recover quickly as COVID subsides. We saw a steady volume recovery in October and November as the delta variant receded but saw volumes decline again in December with the emergence of omicron.  Clinical division revenue per test of $383 increased 4% from the fourth quarter of 2020 and 2% sequentially. The Q4 improvement in revenue per test is primarily driven by billing and reimbursement initiatives which drove reimbursement that was higher than initially anticipated. For all of 2021, revenue per test increased 2% year-over-year. Looking forward, we would expect that AUP will be in line with to modestly above our full year revenue per test of $370. Pharma services revenue increased 13% year-over-year to a record $22 million in the fourth quarter. For the full year, pharma services revenue increased more than 29% to $80 million. New bookings were strong once again for the quarter at $49 million, leading to a year-end backlog of $267 million. Cancellations and projects classified as dormant were $21 million, primarily driven by a few larger project cancellations. We are optimistic about the strength of this business as we look forward to 2022 and beyond.  Our total GAAP gross margin was 36%, reflecting a sizeable impact from Inivata-related non-cash amortization. Total adjusted gross margin, which excludes non-cash amortization related to the Inivata acquisition, was 39.9%. Gross margin was impacted by lower than typical clinical volume growth and pharma services revenue growth on our largely fixed COGS infrastructure coupled with both wage and supply cost inflation. In addition, during the fourth quarter we moved into our new Fort Myers lab facility. While this move will drive productivity and efficiency improvements, we did incur extra costs related to operating two different Fort Myers labs during the transition. Our gross margin was also impacted by a $3.8 million reversal of prior period credits related to the employee retention tax credit, or ERTC. While we continue to believe that the company may be eligible for certain credits from the ERTC, the IRS guidance related to ERTC eligibility has evolved over the past two years, leading us to conclude that a reversal of prior period credits is appropriate unless or until we have new evidence in support of the credits. The change in ERTC credit reduced gross margin by roughly 300 basis points in the fourth quarter. Excluding this prior period reversal, fourth quarter consolidated gross margin would have been 43%, or essentially flat sequentially.  Omicron and inflation notwithstanding, our gross margin is not where it should be. We are taking near term action to address our cost structure and we are developing a long term plan to drive step function improvements in productivity and efficiency through automation, process improvement, product, payor and customer mix, and pricing. Driving gross margin expansion is a top priority for me as I step into the CFO role, and I am confident that we can return to approximately 50% gross margin or better over time. Operating expenses increased $35 million year-over-year to $87 million. The increase was primarily driven by the acquisitions of Inivata and Trapelo as well as additional investments to support growth.  Adjusted EBITDA loss was $10 million in Q4. The loss is attributable to significant investments to develop and launch new assays, including our MRD assay, RaDaR, offset by contribution from the core clinical and pharma services business. The previously discussed reversal of prior period credits related to the employee retention tax credit reduced adjusted EBITDA by $5.9 million in the quarter. Excluding this change in accounting estimate for prior periods, adjusted EBITDA would have been a loss of $4 million in the quarter.  Turning to the balance sheet, we exited quarter four with $515 million in cash and marketable securities. We believe our balance sheet positions us well to fund our growth initiatives with optionality to pursue M&A as well.  Next, I’ll discuss guidance. We expect full year revenue of $530 million to $550 million, which equates to top line growth of 10% to 14%. We expect adjusted EBITDA to be in the range of negative $40 million to negative $25 million. Our guidance reflects Q1 revenue and adjusted EBITDA that is both down sequentially and lower than we would see in a typical year. As we discussed during the call, our January revenue was significantly impacted by the spike in COVID-19 cases. While we have seen a nice recovery of volume in February, the January impact is sizeable enough to impact our quarterly results, therefore we expect Q1 revenue to be in the range of $118 million to $120 million. From a profit perspective, we have continued to staff our labs at full capacity so that we are able to handle increases in test volume that will come as COVID incidents recede. We are also seeing a significant impact from both wage and supply cost inflation. With these factors in mind, we anticipate that Q1 adjusted EBITDA could be in the range of negative $15 million to negative $12 million. Our view on first quarter results is not indicative of our view of the underlying growth and profit profile of our business. We anticipate that Q1 will be a significant outlier and expect to see growth and profitability increase as the year progresses. Our full year revenue guidance of $530 million to $550 million implies a return to mid-teens revenue growth for the remainder of the year with outsized growth in the third and fourth quarter as we begin to reap benefits from our expanded sales force. We also anticipate that EBITDA loss will decline sequentially each quarter as we realize increased revenue and leverage our fixed cost structure.  We also expect 2022 to be an outlier year in terms of adjusted EBITDA. We are making a substantial investment to support and launch RaDaR, including clinical studies to support evidence generation and publications, an increase in the size of our sales force and medical science liaison team, and associated marketing costs. These expenditures will be incurred before we’re able to generate significant revenue from this new product.  As we look beyond 2022, we anticipate that our continued investments in RaDaR will be offset by both MRD revenue and increased profitability from our core businesses, and we expect to turn EBITDA positive once again in 2023. I will now hand the call over to Charlie Eidson to lead us through Q&A.
Charlie Eidson: At this point, we would like to open up the call to questions. Incidentally, if you are listening to this conference call via webcast only and would like to submit a question, please feel free to email us at Charlie.eidson@neogenomics.com during the Q&A session, and we will address your questions at the end if the subject matter hasn’t already been addressed by our call-in listeners.  As mentioned at the beginning of the call, we would like to ask each person to limit their questions to one so that we may hear from everyone and still keep us in the one hour allotted for this call.  Operator, you may now open up the call for questions.
Operator: [Operator instructions] Your first question for today is coming from Brian Weinstein. Please announce your affiliation, then pose your question.
Brian Weinstein: Hey guys, I think you all know - Brian Weinstein, William Blair. Thanks for taking the question. Bill, just to hit on some of the comments that you made on the guidance to get that out of the way, you talked about a significant - and I caught the inflection in tone there - the significant impact on revenues in January, as well as the significant impact that you guys have seen on wage and cost inflation in general. I was hoping you could provide a little bit more context for how significant that impact really was. As we think about what we heard last quarter from you guys as it relates to delta, there seemed to be more of a lingering effect as a result of not being able to get in with customers and have conversations with them, but I’m not hearing that kind of conversation this time, so can you talk about maybe the difference between the lingering effect from delta that you called out and what I’m not hearing, a lingering effect on omicron be.  Hopefully that all made sense.
William Bonello: Sure, absolutely Brian. Thank you very much. Great questions, and I’m happy to elaborate. First of all, when you think in terms of the impact of omicron on volume and revenue in Q1, we do think of ourselves as normally a mid-teens revenue grower, and implicit in our Q1 guidance is the fact that we will be mid-single digit, on the low end of mid-single digit grower of revenue in Q1. The vast majority of that impact is going to be from what we saw in January. We’re starting to see recovery in February and we expect it to be greater in March, so that gives you some sense of the magnitude of the COVID impact on revenue that we saw just from the month of January. In terms of wage and supply cost inflation, we are seeing things in the range of 6%-plus on an apples-to-apples basis in terms of payroll expense, and that’s significantly higher than what we would have seen in prior years, which might have been more in the 3%, 2.5% to 3% level, so absolutely that is a change in what we’re seeing and that will have an impact on Q1 results, and obviously results throughout the year as well. We don’t expect that to subside anytime quickly, and that’s why we are taking some of the margin actions that I discussed. In terms of your question about the lingering effects, we are optimistic. We are seeing green shoots. We are starting to hear that our sales team is getting back in front of clients. As you know, historically about half of our growth has come from market share gains. It’s very difficult to achieve that when you aren’t out meeting face to face with your clients, so we’re very optimistic about the growth rates picking up as we move throughout the year now that things are opening back up, as well as any rebound, obviously, in utilization of patients being tested and treated. We’re also seeing things begin to open back up on the pharma services side and seeing some green shoots on that end.  You could see that we won a substantial amount of business. Our team has done a great job through the pandemic of winning business, but it’s difficult to convert that to revenue when clinical trials aren’t enrolling, or are enrolling at a much slower pace, so we’re starting to hear wins of those trials picking back up and activity starting, and so yes, much less of a trailing factor than what we discussed with delta. 
Brian Weinstein: Great. I’ll respect the one question rule and talk to you guys later. Thanks.
Mark Mallon: Thanks Brian.
Operator: Your next question is coming from Mark Massaro. Please announce your affiliation and pose your question.
Mark Massaro: Hey guys, thanks for the question - Mark at BTIG. Bill, I heard you talk about obviously 2022 being an outlier year as it relates to spending for Inivata, etc. I think on the Q3 call, you talked about plans to add 50 sales reps, and I believe 10 medical science liaisons. I’m curious if you can just give us an update on that, and if you’re able to quantify or give us any additional details about the investment going into Inivata versus other areas and headcount, that would be helpful.
William Bonello: Absolutely. I’m going to turn that one over to Mark to talk about what we’re doing with the sales force, and if he wants, I can add a couple dollar comments around it.
Mark Mallon: Thanks for the question, Mark. As we communicated in the third quarter, we’re on track to expand our precision medicine team. We’re setting up a second team in the second quarter. We’re also going to be bringing onboard really our first medical science liaison team, both of those to support RaDaR and our other NGS assays in reaching out to oncologists. We will get that team started to expand in the second quarter, in line with when we receive the reimbursement from MolDX for RaDaR, and then we will expand that through the course of the second half of the year to make sure that we’ve got the right level of resources behind RaDaR in offices with oncologists, and supporting our total NGS portfolio with oncology.
William Bonello: Did that answer your question, Mark?
Mark Massaro: Yes, sorry. I might have missed it - just the number of headcount adds, is that in the 50 reps and the 10 liaison range, or--and if I missed it, I apologize.
Mark Mallon: The plan that we announced is the plan we’re continuing with, so we did talk about up to 50 and up to 8 to 10 MSLs, but that will be through the course of the year, right? We’re going to start getting that team set up in the second quarter and then we’ll expand that in line with the opportunities we see.
Mark Massaro: Excellent, thanks guys.
Operator: Your next question is coming from Alex Nowak. Please announce your affiliation, then pose your question. 
Alex Nowak: Great, good morning everyone. Just going back to the revenue guidance, to Brian’s initial question, just focusing on the second half acceleration here, what are you baking into the guidance for the rebound of cancer cases, cancer diagnoses, and then also how quickly and impactful can the new reps contribute? What sort of visibility do you have on that, and then the visibility around RaDaR’s contribution? I know there’s a couple questions there, but I’m trying to understand if these additions--
William Bonello: Alex? Anyone? Operator?
Operator: Alex, your line is still live. 
Mark Mallon: Alex, did you go on mute accidentally?
William Bonello: Operator, why don’t I--I think we got the gist of the question. I could respond to that, so the other people on the call can hear it, and if Alex comes back, he can complete the question. In terms of what we’re expecting on the COVID front, clearly at the high end of our guidance, we’re assuming that we’re closer to smooth sailing and COVID recovery. Again, that would be projecting 15% revenue growth for the remainder of the year, and so that is a pretty good growth clip in a normal environment. We did intentionally give a wide range of revenue guidance because we know that COVID has been incredibly difficult to predict, and so the lower end of the range allows for some continuation of the virus as we move throughout the year. In terms of what we have for the impact of the new sales force, we do anticipate that in the back half of the year, they will contribute to revenue. That may be more so from sales of our other NGS products into the oncology market than it is from the RaDaR assay itself, though we do think we will have preliminary RaDaR sales as well in the back half of the year, particularly following securing of reimbursement. We also think that we will have some RaDaR revenue on the pharma services side of our business, and that will be the more significant contribution from RaDaR to revenue in the first couple of years, with the clinical market picking up over time.
Alex Nowak: Okay, great. Appreciate the update, and thank you.
Operator: Your next question from today is coming from Puneet Souda. Please announce your affiliation, then pose your question.
Mark Mallon: Hi Puneet.
Puneet Souda: Hey Mark, thanks. First question, let me keep it to one. You are baking in clinical--what’s the clinical growth and the pharma growth that you’re baking in? Volume appears to be down obviously in the first quarter, but just wondering how should we think about ASP? Is that in line with sort of the fourth quarter or the 370 number that you talked about, and then on the cost side, should we expect elevated costs to elevate from the current levels into the first quarter as well, because I think there are obviously a number of questions on the first quarter guide.  If I could just get a brief follow-up in there, what are the indications that you’ll be pursuing for RaDaR right out of the gate at the time of the launch and for submission to MolDX? Thank you.
Mark Mallon: Let me take the revenue growth question and the indications questions, and then I’ll let Bill comment on a couple of the more specific number questions you mentioned. Our view is, as we’ve said, we get clear of the COVID effect we are seeing, or saw in the first part of the quarter, that we would return in line with what we expect from our businesses, both in clinical and pharma. In clinical, we talk about that getting into low teens, we’ve talked about pharma being a business that can grow over time at north of 20%, and so in aggregate if you think about the last three quarters being back to what our expectations are for the business from a revenue standpoint, we’re certainly aiming for mid-teens growth in the last three quarters.  I think we’ve got the resources in place, we’ve got the products in place, the team is motivated and energized, and with access opening up and assuming no twists and turns from COVID, we feel good about the last three months. Bill, do you want to--oh, and in terms of indications, as we’ve said before, we’re not going to comment on which indications until we get the reimbursement, and that’s competitively sensitive information. RaDaR is clearly a pan tumor assay, we’ve got data that we’ve already shared in multiple cancer areas including breast and lung, but we see this as a tool for pretty much a broad range of solid tissue types of cancers and we’re able to pursue both [indiscernible] approvals for the fast follower and [indiscernible] or clinical. We’ve got programs in both areas.  Bill?
William Bonello: Sure. On the average revenue per test and in terms of cost inflation, I will just reiterate what we said on the call - we would expect average revenue per test to be in line with the full year amount of $370 to up modestly. We do have a number of interesting reimbursement initiatives that could drive some upside to that. On the flipside, there is some pressure from the Medicare physician fee schedule, and so we think that’s a pretty prudent number to put out there. In terms of inflation, again we’re seeing payroll inflation around 6% or so - that’s significantly higher than in other years, and so that is contemplated as part of the Q1 guidance as well as part of the full year guidance.  The big challenge for Q1 from a profitability standpoint is, as we said, we expect revenue to be down sequentially. We aren’t going to make a bunch of immediate cutbacks to our laboratory staff as a result of a temporary resurgence in omicron. We need to be prepared to handle the volume when it comes back, as it has started to do, but when you have the overhead there and the volume not, that’s a big hit on profitability for that particular quarter.
Puneet Souda: Okay, thanks guys.
Operator: Your next question from today is coming from Dan Brennan. Please announce your affiliation, then pose your question.
Dan Brennan: Thanks - Dan Brennan from Cowen. Hey guys, how are you? A couple part question. First, I was wondering if you could break out a little bit, given the ’22 guidance, what’s the expected contribution from Inivata, from Informatics, if you could comment at all on NGS, that would be helpful as well. Then secondly on the net promoter score, which you talked about, how does this compare to the recent trend, in particular I’m interested in what the feedback has been given on prior calls, you’ve discussed some staffing issues given COVID, so I’m wondering how you’ve managed through that and what you’re hearing from the field.
Mark Mallon: Dan, I’ll take the second part of your question and then Bill will comment on the first part. We continue to maintain our net promoter score in the 60s, which is really good on this metric. For those of you who are not familiar with it, it basically is the net of those that would actively promote your services to colleagues and other businesses, minus those that would be detractors. It’s a very high bar. We’ve consistently had it in the 60s, and so I’m really proud of the team that, despite COVID, despite challenges of access, they’ve been able to--the clinical team, to sustain that type of customer service. I think it’s a testament to the relationships they’ve built over the years and the effort they’ve put in over the last two years, and it gives us a lot of confidence as access comes back that when we get a chance to really have more face time and direct interaction with our customers, that we’ll really see further progress in the clinical business.  It’s a little bit harder to get that type of score in the biopharma world, but really we deliver the same level of great service to biopharma companies. It’s a core part of our strength, and similarly we’re starting to see opening up in that part of our business as well in terms of interactions. We’re starting to see face-to-face conferences coming back, which is a really important way to meet with biopharma customers as well, so a lot of encouraging things to look forward to in the rest of the year from our sales teams.  Bill, you want to take the other part of the question?
William Bonello: Sure, so Dan, we don’t guide specifically to the growth rates for the individual businesses. We have said longer term that we expect our pharma services business to grow north of 20%, and we expect our Informatics business to grow north of 25%. We had said initially at the time that we acquired Inivata that we would expect it to have a modest contribution, maybe somewhere in the single digits of revenue in its first year, and so that’s what we’d be expecting in 2022 in terms of revenue. I think I would look at the growth rate from pharma and from Informatics to be more or less consistent with our long term growth rates, and then some modest contribution from Inivata as well.
Dan Brennan: Got it, okay guys. Thanks.
Mark Mallon: Thanks Dan.
Operator: Your next question is coming from Andrew Cooper. Please announce your affiliation, then pose your question.
Andrew Cooper: Hi everybody, Andrew Cooper from Raymond James. Maybe just to ask it another way, I know you’re not disclosing the indications that you’re going for first on RaDaR, but can you give a sense for maybe the pacing of additional submissions, how many do you think you might have ready to go this year, and what’s that build-up to what you call pan cancer applicability looks like over time?
Mark Mallon: Thanks Andrew. I’m going to ask Clive to take that question. Clive?
Clive Morris: Yes, thanks Mark. Hopefully you can hear me okay. As you mentioned, we haven’t disclosed the indication that we’ve initially worked through. I think the best way to think through this is we see this as a journey, building out--you know, there’s a huge potential market. We see the potential for RaDaR across tumor types and we see this as a multi-year program to build breadth of evidence, starting from the first indications but then broadening out into new indications as well as deepening the data within each indication. We haven’t commented specifically on what or how many additional ones there may be this year. Our view is that there will be additional submissions this year, but as I said, we’re not disclosing at this point exactly the tumor types, but you can imagine that as we start to present data at conferences, there’s been a six to nine-month lead time as those things then come through into peer-reviewed publications. It’s the beta that we need that will ultimately need to support those reimbursement applications. If you’re keeping a close eye on the sort of things we’re publishing last year and then this year as we get into the major conferences, where we’re expecting a number of presentations, that will be the guide to the sort of things you can then expect to see, with a little time lag, in peer-reviewed publications and of course the type of things that will ultimately go into reimbursement. The only other thing I would say is, of course, it’s a competitive environment, and a number of other companies are active in this space, and as any of us gain reimbursement, it changes that landscape, so it’s something that we will look at dynamically over time. We have our own plans, but we’ll also be reactive to what others are doing.
Andrew Cooper: Great, thanks. If I can squeeze maybe just one more in quickly for Bill, you mentioned some of the reimbursement initiatives driving the ASPs in the fourth quarter. Can you give a sense for how much of that was true prior period make-up versus--or maybe relative to the $370 you talked about for the full year?
William Bonello: Yes, of course. Again, because looking forward we would expect the AUP to be in the range of $370 to slightly higher, I think you could assume that most of the benefit in Q4 was being able to realize revenue that we had not previously anticipated, and that’s through a number of different initiatives that allow us to get paid in terms of working through denials, etc. Again, the proactive opportunities going forward, a number of them would drive ongoing and permanent increases in reimbursement if we’re successful.
Andrew Cooper: Great, I’ll stop there. Thanks everybody.
Operator: Your next question is coming from Derik de Bruin. Please announce your affiliation, then pose your question.
Derik de Bruin: Hi, it’s Derik de Bruin from Bank of America. I’ve got a few short ones. First of all, can you update us on the regulatory matter and what are the incremental costs associated with that - that’s one. Just list pricing for RaDaR and your anticipation for reimbursement levels, that’s two; and then assumptions for amortization and depreciation in ’22. Thanks.
Mark Mallon: Thanks Derik. I’ll take the first question and I’ll let Clive answer the question on pricing for Inivata, and then I’ll let Bill come back to your question on amortization. Basically we don’t have significant updates to give on the submission that we made on the self disclosure around the compliance matter. Our investigation continues, although a large part of it is complete, so we’ve taken all the necessary remediation actions and continue to do everything we can to meet any of the needs of the government through this self-reporting process. You will see in the 10-K a slight increase in the amount accrued for this - I think it was about $700,000, just up from $10.5 million to a bit more than $11 million, so not a significant change. Really, we’ve done everything we need to do and continue to do to meet the expectations of the government in this submission. Now the timing of additional news is going to largely driven by feedback from the government, which is hard to predict. As it was when I came here and through the past 10 months and looking forward, I have high confidence in the values and the commitment to compliance that this organization has. We’ve handled this exactly the way you would want this organization to do that. We’ve taken the remediation steps needed and we’re focused on driving the business going forward. Clive, do you want to talk about pricing for RaDaR?
Clive Morris: Sure, certainly. We haven’t disclosed list pricing at this point, but I think the best way to think of it is broadly consistent with what you’ve seen across the market for high quality, high sensitive, high specificity tests like RaDaR. Clearly it’s tissue-informed, there’s the whole exome component and then the blood, so I think you’ve probably got good analogs out there in the market. Clearly we will establish pricing as the reimbursement comes through, so once the indication, our first one is through, we’ll share further details on that, but initially that will be through the MolDX pathway. We do see the potential for ADLT sort of status and reimbursement in the future, that’s on the back of the initial Medicare coverage of course, so that’s something that can be worked through, and of course at this point nobody really has any private payor coverage, but that’s something that we’ll get negotiated with the commercial payors and building on that. The data sort of comes onboard and of course the Medicare reimbursements, but that’s something that builds over the next few years. Hopefully that gives you some color on how to think about it.
William Bonello: And Derik, in terms of amortization, our guidance assumes an amortization amount of about $34 million for 2022. In case people wonder, we’re assuming about $38 million of depreciation. Amortization was about $23 million in 2021. The reason that you see such a big uptick is because of the timing of the Inivata acquisition and the amortization of the developed technology intangible asset, so we have a full year of that in 2022 instead of a partial year of that.  If anyone’s curious, we do include a table on Page 13 in our press release that gets you from that income to adjusted EBITDA, and we give our guidance for items such as amortization and depreciation.
Mark Mallon: Thanks Derik.
Operator: Your next question is coming from Matt Sykes. Please announce your affiliation, then pose your question.
Matt Sykes: Hi, good morning everybody. Thanks for taking my questions, Matt Sykes from Goldman Sachs. Bill, maybe just on the gross margins, you kind of outlined an aspirational goal of 50% over time. Maybe just help us walk through the progression to that number, maybe over the course of ’22 and beyond, and how much is that leverage from--you know, the fixed cost leverage in clinical and pharma versus cost actions you might take? Just wanted to get a sense for where you see the biggest levers are to get that gross margin up to that goal level.
William Bonello: Hey Matt, thanks a lot for that question. It will be a gradual progression back up to that 50% level. I think it will be driven by a series of factors. A big part of it will be leverage of the existing fixed cost structure as revenue rebounds and we emerge out of the COVID environment, and as we have a larger sales force that is hopefully generating revenue across that fixed COGS structure as well. That will be the immediate driver.  The longer term driver on gross margin will be efforts to drive continuous improvement in productivity and efficiency across the laboratory, and those are things such as automation, process improvement. We will also target selective pricing increases, the reimbursement initiatives that I talked about, and those are all things that take a while, they don’t happen overnight. They happen over a period of time. The one other factor over time that will drive gross margin is our product mix as well as we continue to see mix shift to higher gross margin products, and that will be particularly true as we secure better reimbursement on our NGS assays and over time as we ramp up on RaDaR. All of those factors will be drivers over time.
Mark Mallon: Thanks Matt.
Operator: Your next question for today is coming from Mason Carrico. Please announce your affiliation, then pose your question.
Mason Carrico: Hey guys, Mason Carrico from Stephens. Maybe similar to the last question, could you provide some commentary on your expectations for how pharma services gross margins trend in 2022 and maybe what the drivers are there? Is it just filling up capacity, is there a shift to higher value projects, or any color on the expansion opportunities there would be great. 
Mark Mallon: I’m going to ask George maybe to talk about the gross margin, and then maybe Gina can talk about our priorities for growth in the year.
George Cardoza: Yes, certainly as Mark mentioned, one of our goals on the international side, we’re thrilled that China is open now, but with operations in the United States, with operations in Switzerland, Singapore and China, we really believe that the footprint is built, and certainly we have capacity at those international labs and one of the main focuses of our commercial teams is going to be to fill those laboratories up. So again, we’ve got the infrastructure cost and we have significant gross margin opportunities when we move revenue into those sites and fill those up, certainly, so that’s a big part of this. Obviously we continue to expect 20%-plus growth in the pharma services sector, which also fills up capacity. We are looking at some cost actions, as Bill said, and we even implemented a price increase earlier this year that impacts our clients, so certainly there’s a broad range of things that are happening but we believe the infrastructure is largely built and certainly our expectations are the pharma business is going to continue to grow rapidly and then we’ll fill that up. Gina, do you want to talk about some of the commercial initiatives?
Gina Waller: Yes, absolutely. Thank you for the question, Mason. We have a terrific sales team that’s really created a strong backlog with a diverse portfolio of both clients and project types, and this includes the ex-U.S. sales team that has really taken off in 2021 despite obstacles that COVID had presented. We feel very confident that we are going to fill up those international adds, and the investments that we’ve made really set us up for growth with the strong backlog that we currently have.
Mason Carrico: Got it, thank you guys.
Mark Mallon: Thanks Mason.
Operator: Your next question for today is coming from Mike Matson. Please announce your affiliation, then pose your question.
Mike Matson: Yes, thanks, Mike Matson from Needham & Company. We’ve heard a lot about patients deferring care and there’s probably some cancer patients out there that have progressed to later stages, so I understand the whole concept of a backlog of testing and whatnot, but I guess I’m wondering if there’s any kind of second order effect of these later stage patients. Do you have any feel for whether they require more tests per patient, maybe more expensive tests, or maybe the opposite of that? Is that a positive or a negative for your business, I guess, if you have any feel for that?
Mark Mallon: Mike, thanks for your question. I think theoretically, and unfortunately you could imagine that people getting diagnosed later are already going to be--will be further progressed and may have more complexities or complications, and that could lead to some incremental testing requests. I think it’s really too early to say that for sure, but I think what we can say is, at least in our business with cancer testing, is that when the COVID levels recede, the patients do get back into the offices, we do see steady rebound and significant rebound in testing volume, and I think we expect that we’ll continue to see that.  I think the other thing that adds to that effect is, of course, our sales teams can get back in and have direct interactions with customers. That helps in existing accounts, so it gets into additional visits, but importantly it really helps in adding new accounts, which has been historically a strong part of our growth, and we expect--you know, we still see lots of opportunities to add new accounts in a very fragmented and big market, even though we’re the largest player.  It’s really hard to say what’s going to happen in terms of that delay in getting a diagnosis, but I think overall we expect the volumes to show strong rebound.
Mike Matson: Okay, got it. Thank you.
Operator: Your next question is coming from Tejas Savant. Please announce your affiliation, then pose your question.
Tejas Savant: Hey guys, thanks for the time here. Just a quick clean-up first on Informatics and then I have a follow-up on biopharma. On Informatics, I think you’d said in the past that you plan to launch a clinical product on the Trapelo side by year end. Could you just talk to whether this happened and what the early traction looks like over there?Then on biopharma, you spoke of delays last quarter, but I think this quarter you flagged some elevated cancels here, driven by a few large projects, which I guess drove your backlog to be flat sequentially. Just some color on what’s driving that, and I’m trying to sort of juxtapose it with comments from some CROs talking of RFPs being down significantly in January and so on because of perhaps a near term breather in funding, especially for smaller biopharma customers. I’m just trying to juxtapose what you guys are seeing there with the elevated cancels versus some of that commentary. Thank you.
Mark Mallon: Right, so I’m going to ask Clynt to take the first question and can give an update on how Trapelo’s decision support services and some of the improvements that we’re putting in place, how that’s progressing, and then I’ll ask Gina to make a comment on the project cancellations.  I’ll just say upfront that what was impressive again is that despite those cancellations, we did see an increase in the backlog from 261 to 267, so the strength of the underlying demand for our services still comes through, but Gina can say a word about the cancellations. But Clynt, do you want to start and give an update on Trapelo’s decision support services?
Clynt Taylor: Sure, happy to. We are in the process of launching, and I say that because we had kind of a soft launch that’s already happened for a configuration of Trapelo called quick start. What we learned in the past year or so is that when groups look at Trapelo and they think about immediately an integration, it becomes--it was daunting, so we created a configuration of Trapelo that makes it much quicker and much easier to implement, within a couple of weeks.  You asked about the response to it, it’s been very positive. In fact, we have our first contract already this year. We have another one that’s in the works and several more in the pipeline. It’s been really well received. That’s not the only reason someone makes a decision to do something, but this certainly takes a lot of the friction out of doing something new in a group like this.
Mark Mallon: Okay, thanks Clynt. Gina, do you want to comment on the cancellations?
Gina Waller: Yes, absolutely. Thank you for the questions. We always expect some portion of our backlog to experience a cancellation, and that’s when the program at our client is no longer going to be supported because of some data that they’ve gotten. This quarter, we had some cancellations that were larger in dollar value, but definitely we expect that. We’ve also heard of some changes in demand from pharma, but we haven’t experienced this ourselves. I think that’s a testament to our sales, who have seen this and refocused on different types of clients and projects. As I mentioned before, we have a diverse portfolio in our backlog of projects, consisting of earlier phase research all the way to phase 3 pivotal clinical trials, and it reflects the diverse product offerings that we have to support all phases of clinical research for our clients, so we feel very optimistic about that even though we have been hearing of these changes. 
Tejas Savant: Got it, helpful. Thank you.
Mark Mallon: Thanks.
Operator: There are no further questions in queue. I would now like to turn the floor back over to Mark for any closing comments.
Mark Mallon: Okay, thanks Holly. Thanks everybody for participating in this call. I’d like to close, as we always do, with on behalf of NeoGenomics leadership team to just say thank you to all of you, but importantly to also say thank you to all of our employees and all the great work that they do. I also want to say to those of you listening that are investors or considering an investment in NeoGenomics, we thank you for your support and interest in our company, and we look forward to continuing our dialog through the course of the quarter. Look forward to talking to all of you soon. Thanks so much.
Operator: Thank you. Ladies and gentlemen, this does conclude today’s conference call. You may disconnect your phone lines at this time and have a wonderful day. Thank you for your participation.